Operator: Greetings and welcome to the Hill International Reports Fiscal 2012 Fourth Quarter Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Devin Sullivan, Senior Vice President of the Equity Group. Thank you Mr. Sullivan, you may begin.
Devin Sullivan: Thank you, Rob. Good morning everyone and thank you for joining us today. Our speakers on this morning’s call will be David Richter, President and Chief Operating Officer of Hill International and John Fanelli, Senior Vice President and Chief Financial Officer. Before we begin, I’d like to remind everyone that certain statements contained during this call maybe considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and it is our intent that any such statements be protected by the Safe Harbor created thereby. Except for historical information contained on this call, the matter set forth herein including but not limited to any projections of revenues, earnings or other financial items, any statements concerning plans, strategies and objectives for future operations and any statements regarding future economic conditions or performance are forward-looking statements. These forward-looking statements are based on current expectations, estimates and assumptions and are subject to certain risks and uncertainties. Although we believe that the expectations, estimates and assumptions reflected in forward-looking statements are reasonable, actual results could differ materially from those projected or assumed in any of our forward-looking statements. Important factors that could cause actual results performance and achievements or industry results to differ materially from estimates or projections contained in our forward-looking statements include modification and termination of client contracts, control and operational issues pertaining to business activities that we conduct on our own behalf or pursuant to joint ventures with the parties, difficulties we may incur in implementing our acquisition strategy, the need to retain and recruit key technical and management personnel and unexpected adjustments and cancellations related to backlog. Additional factors that could cause actual results to differ materially from forward-looking statements are set forth in the reports we have filed with Securities and Exchange Commission. We do not intend and undertake no obligation to update any forward-looking statements. With that said, I’d now like to turn the call over to David Richter. David, please go ahead. 
David Richter: Thank you, Devin. Good morning to everyone joining us today. Yesterday after the market closed, we announced our financial results for the fourth quarter and full year 2012. Despite record consulting fees for the quarter, we had a significant number of non-cash charges that resulted in us reporting our worst quarterly and full year net loss ever. Despite this, we believe that our record sales efforts last years have positioned our company for record revenues and a return to profitability in 2013. On this morning's call, we will focus only on the fourth quarter, not the full year and we will discuss comparisons both year-over-year as well as quarter-over-quarter or sequentially. We will also discuss our Company's performance both with and without the impacts of the noncash charges I just mentioned. Total revenue for the fourth quarter 2012 was a $125.7 million; a 3% increase from the fourth quarter of 2011. Consulting Fee Revenue or what we sometimes call CFR for the fourth quarter was a record $110.8 million and 11% increase from the prior year's fourth quarter. Earnings before interest tax depreciation and amortization or EBITDA for the fourth quarter 2012 was $2.2 million, down 6% from the fourth quarter of 2011. Operating loss for the fourth quarter was $300,000 an improvement from the operating loss of $1.3 million in the year earlier quarter. Our net loss for the fourth quarter was $22.5 million or $0.58 per diluted share, compared to a net loss of 0.6 million in the fourth quarter of 2011 or $0.02 per diluted share. During the fourth quarter Hill booked noncash charges totaling $23.1 million, that adversely impacted our reported financial results. These charges included the following; $17.7 million as a result of a reserve on the entire evaluation of our U.S deferred tax asset, $4 million as a result of a reserve taken in connection with contingent employment tax liability for certain of our foreign subsidiaries, $1 million in connection with the termination of operations of our subsidiary HillStone International; $200,000 as result of a write-off of an investment in a terminated Middle East real estate development joint venture; $200,000 as a result of a litigation settlement in connection with the terminated U.S. real estate development joint venture. These non-cash charges are balance sheet adjustments and have no impact on the Company's cash position or liquidity. Excluding the impact of these charges, for the fourth quarter, Hill’s EBITDA would have been $6.4 million, with an operating profit of $4.1 million and our net loss would have been a negative $1.7 million or $0.04 per diluted share. This compares to our analyst consensus estimate of a $0.02 loss per share for the quarter. Looking at our fourth quarter performance sequentially, versus the third quarter, Hill’s total revenue was up 5% and our consulting fees were up 7%. Hill’s gross profit in the fourth quarter was $47.9 million, a 6% increase from the third quarter. That was despite a small drop of 30 basis points in our gross margin percentage to 43.3% in the fourth quarter from 43.6% in the third quarter. Our SG&A was higher this past quarter, given our growth and also one of the non-cash charges discussed earlier for $4 million which impacted our SG&A expense. As a result our SG&A in the fourth quarter rose 21% to $48.2 million from $40 million in the third quarter. As a percentage of consulting fees, our SG&A percentage went up by 490 basis points to 43.5 % from 38.6%. Backing out the $4 million charge, our SG&A would have been $44.2 million for the quarter or 39.9% as a percent of consulting fees. Our long term goal of overhead expense is 35% and we think we'll be much closer to that number in 2013. Our EBITDA was down 72% from the third quarter over fourth going from $7.9 million in the third to $2.2 million in the fourth. After the $4 million noncash charge our EBITDA would have been $6.4 million, a decrease of only 19% sequentially. That would have given us an EBITDA margin of 5.8% in the fourth quarter, down a 180 basis points from 7.6% in the third. Likewise Hill's operating profit in the fourth quarter could have also been down 19% except for the $4 million noncash charge, to $4.1 million. But with the charge it was down a 106% from 5.1 million in the third to a negative 300,000 in the fourth quarter. Without the charge Hill would have had an operating margin of 3.7% in the fourth quarter, down a 120 basis points from 4.9% in the third quarter. Our net loss for the fourth quarter was a negative $22.5 million or $0.58 per diluted share, versus net earnings from the third quarter of $1.3 million or $0.03 per share. After all noncash charges our net loss for the fourth quarter would have been $1.7 million or only $0.04 per share, a $0.07 negative swing from the third quarter. Now looking at the fourth quarter performance of our two operating segments separately, total revenue as Hill's project management group during the fourth quarter was $98.6 million, a 3% increase from the fourth quarter of 2011. Consulting fee revenue for the fourth quarter of Project's group was a record $84.7 million, up 15% from the prior year's fourth quarter. Operating profit for the Project's group for the fourth quarter was $4.6 million, a drop of 23% from the fourth quarter of 2011. Absent a $4 million noncash charge which was felt entirely by the Projects group, operating cost in the fourth quarter would have been $8.6 million, a 44% improvement from the fourth quarter of 2011. Looking at sequential performance for Hill’s Projects group, total revenue was up 6% and CFR was up 10% in the fourth quarter versus the third quarter. The Projects groups are likewise 10% increase in gross profit to $33.4 million with gross margin on a percentage basis at 39.4% seeing no change from the third quarter. SG&A expense for the projects group was $28.8 million up, 28% for fourth quarter versus the third. Ignoring the impact of the $4 million noncash charge, SG&A in the fourth quarter for Projects group would have been $24.8 million, up 11% from the third quarter. This equates to 29.2% of consulting fees, a small 20 basis point increase from the third quarter. Sequentially operating cost of the Projects group was down 42% quarter-to-quarter, absent the impact of the $4 million noncash charge that would have been up 8%. As a percentage of consulting fees, this would have been 10.2%, a 20 basis point decrease from 10.4% in the third quarter. That’s two quarters in a row of double digit operating margin for the Projects group and we expect that they will do even better in 2013. For Hill’s Construction Claims group, total revenue during the fourth quarter was $27 million, a 2% increase from the fourth quarter of 2011. Consulting fee revenue for the fourth quarter for the Claims group was $26.0 million, a 1% increase from the prior year’s fourth quarter. Operating profit for Claims group in the fourth quarter was $1.7 million, a 20% decline from the fourth quarter of the prior year. The charges discussed earlier had no impact on the financial performance of the Claims group in the fourth quarter of 2012. Looking at the Claims group’s performance sequentially, they saw the total revenue unchanged and consulting fees down 1% on the fourth quarter versus the third. The group also saw a 1% decline in its gross profit, but gross margin as a percent of CFR showed a slight improvement, up 10 basis points to 55.8% in the fourth quarter from 55.7% in the third. SG&A expense for the Claims group was up 6% in the fourth quarter, and as the percentage of consulting fees it was up 340 basis points to 49.1% from 45.7%. This resulted in a 35% drop in operating profit for the Claims group from the third quarter to the fourth. As a percentage of CFR this was a decline also of 340 basis points with operating margins for the Claims group dropping to 6.6% in the fourth quarter from 10.0% in the third. We expect that the Claims group will be performing much better than this during 2013. Regarding our backlog, we achieved record backlog at the end of 2012, with Hill’s total backlog increasing by 6% during the fourth quarter to a record $923 million. This backlog consisted of $884 million in our Project Management Group and $39 million in our Construction Claims Group. 12 months backlog at yearend, it was also a record of $382 million, up 12% during the quarter. This was broken down into $343 million coming from our Project Management Group and $39 million from our Construction Claims Group. Companywide, Hill had net bookings during the fourth quarter of $161 million, a solid quarter for new sales and a strong end to what was in 2012 the best year in the history of our company for bringing in new work. Some of the major new contracts announced by us over past four months since our last earnings call include a $109 million contract to manage expansion of Oman’s two largest airports, a $10 million contract to a service Project Manager, the Anaheim rapid connection Streetcar project in southern California, a $10 million contract to provide staff augmentation services to the New York city’s school construction authority, a $10 million contract to be the construction manager for the $1.4 billion Rising Sun Taipei City Development in Chongqing, China, a $4 million contract to provide design management and construction supervision services on water and wastewater infrastructure project throughout Caras Severin County in Romania, a $5 million contract to provide on call construction management and construction inspection services for District 8 of Caltrans California Department of Transportation, a $3 million contract to manage construction of the Dhofar Beach Resort in Oman, a $2 million contract to manage construction of the Secon Nile Towers in Cairo, a contract to act as program manager for a major renovation of the United Nation’s office complex in Geneva, a contract to manage the repair of earthquake damage to the Washington monument, contract manage expansion of Suquamish Clearwater Casino Resort near Seattle, a contract to provide on-call CM services to the Columbus Regional Airport Authority, a contract to act as a construction manager for the new Grand Hyatt Rio hotel in Brazil, a contract to provide construction consulting services to Freeport-McMoRan, our new client one of the largest mining companies in the world and many-many others that we earned over the last four months. Based on these new contracts, some of which we included in our 2012 yearend backlog and some of which were won early in 2013, we estimate that Hill’s consulting fee revenue for this year will be between $500 million and $520 million, which equals 20% to 25% growth on our consulting fees from $418 million that we saw last year. This guidance is based on organic growth only and assumes no additional CFR from acquisitions, although we do expect that we will close one or more acquisitions this year. With that, John Fanelli our CFO and I are happy to answer any of your questions.
Operator: (Operator Instructions). Our first question is from the line of Lee Jagoda of CJS. Please proceed with your question.
Lee Jagoda - CJS Securities: Just regarding the Oman project, were there any expenses incurred in Q4 ahead of the ramp up of the project on January 1 and how much additional hiring was and will be done specifically for this project?
David Richter: There was actually very little expense, certainly no more than around here in the fourth quarter. Our contract officially began on January 1st. We were replacing a prior construction management joint venture that had been terminated. So, one of the benefits was we had rump up very quickly and we did because we picked up a lot of the existing employees working under the prior contract. In December, we had literally almost no staff in Oman. Today I think the number is close to 220 people and we expect that the top end, once we’re fully staffed on the two projects that we’ll have probably about 350 people working in Oman.
Lee Jagoda - CJS Securities: And how does the 350 compare to your total billable headcount at the end of 2012?
David Richter: In Oman? Nobody was billable n Oman at the end of 2012. 
Lee Jagoda - CJS Securities: No, I’m talking total companywide.
David Richter: Total companywide, we ended the year, I believe it was about 3,400 employees. We have 3,700 today.
Lee Jagoda - CJS Securities: Okay. So, roughly 10%?
David Richter: Yes.
Lee Jagoda - CJS Securities: And obviously, there is added expense when you talk about 20% to 25% revenue growth on a year-over-year basis, especially the people business. How should we as outsiders sort of think of your SG&A as a percent of CFR in 2013?
David Richter: I think, certainly our SG&A is going to increase given the growth but as a percent we expected it to come down. It was like I said 39.9% in the fourth quarter, absent the charge. We expect that to be closer to 36% or 38% for the full year 2013. And as I said, our long term goal is we continue to grow as to get that number closer to 35%.
Lee Jagoda - CJS Securities: Okay one more and I will hop back in the queue. Does the 500 to 520 of revenue guidance include any anticipated work in Libya and then can you just remind us, if you were to get a partial or full payment from Libya, the requirement under your credit agreements for the debt paid down.
David Richter: Sure. The projection does not include anything for Libya, although we do expect that we will be back to work in that country this year and we are expecting that we are going to get payment in part or in full during the course of this year. Libya is going through an approval process right now of their 2013 national budget. The total number which was I think 66 billion Libyan dinars has been approved by the National Congress and is now in committee to determine how that number gets broken down among the various agencies and departments of their government. We think once that process is concluded, the Government will fund the various agencies and once our client ODAC has money, we will start to see cash coming in from that client and a return to work on the projects that we are involved in. They have announced, and they told us specifically that the University of Tripoli is one of their highest priority projects and that was a project we are managing; the largest project that we had before the revolution. Our plan is to bring back as much of that cash as we can back to the United States. We have contractual requirements in connections with our new loan, with Tennenbaum Capital Partners and our existing senior revolving credit line with Bank of America; that any money brought back, half will go down to pay the Tennenbaum term loan permanently and half will go to pay down our revolving credit line which of course we can borrow back against.
Operator: (Operator Instructions). The next question is from the line of David Gold with Sidoti. Please proceed with your question.
David Gold - Sidoti: Couple of things. First Dave, when you think about the guidance that you’re given for 2013; the $500 million to $520 million or so and sort of gel that up with the 12 months backlog of your $382 million or so, historically, you obviously had some growth there over the pure backlog of business that you signed but it seems aggressive. Can you give a sense for what's out there, is it that you're bidding on a number of contracts, or pretty close to announcing, you know, basically what gives you the confidence a little bit that you'll see that growth.
David Richter: It's a big increase from what's been a couple of years of single digit growth. Though we certainly seen the market getting better, we had a fantastic year last year in new sales and brought in some really significant projects, most of which were in the Middle East and we expect that operation to have a fantastic year as well. But we've been talking for a long time about the best metric to predict our growth over the next year is a multiple of a 12 month backlog and the multiple that we've given is typically 1.3 to 1.4 and if you do those numbers on $382 million, you come up with a range of $497 million to $535 million, which is, all we did was tighten that number a little bit, based upon our best estimate as of today, where we see the full year working out. So we don't think it's an aggressive number, but it's one that given the fact that a lot of people know that 1.3 to 1.4 multiple metric, thought we just communicate that to everyone, so the market, investors, everyone has an indication of how we expect to perform this year. We think that's a, I don't want to say conservative or aggressive, somewhere in between, anything that's a reasonable target for the year. I can also tell you that the work we brought in in early 2013 also gives us confidence that that's a number we're going to hit.
David Gold - Sidoti: And I guess layering on that, that you're presumably seeing enough activity out there or as you said going out, that presumably that you're pretty confident that basically there's enough work out there that you can get there.
David Richter: Oh absolutely.
David Gold - Sidoti: And then there's a comment in the release about next year expecting or 2013 expecting profitability. When you think about it, you've obviously made a number of changes and you know fourth quarter I guess was a little bit of clean up so to speak. What will be the biggest factors going into that, and part of that, I'd be curious, is when you think about your 35% G&A target, is that purely a function of growing the top line or there are there cost cuts and further adjustments that you think you can make. 
David Richter: No, I think that the cost cutting that we've done over the last two years has obviously been important to our bottom line. I don’t anticipate that we’re going to be doing much of any cost cutting going forward. I think that given 20% plus growth, consulting fees for this year, what we need to do is to keep the growth of our SG&A in line, and make sure that that’s is a lot less than 20%, so we can see a significant delta in between those two as far as additional operating profit. You got an obviously big interest hurdle as a result of run up in debt that we saw because of Libya and the new term loan that we have with Tennenbaum Capital Partners, and we are projecting a run rate of about $20 million to $22 million this year in interest expense, and we obviously expect to make significantly more than that in operating profit so we could show a profit for the year. We also see an increase in our utilization as we had a lot of billable people and very few unbillable people to our company. And as we are starting to see across the board, certainly that our strongest markets right now are in the Middle East and the U.S., but we are seeing, they are improving metrics out there in the marketplace everywhere, small projects moving forward, more sales across the board, our people are getting busier and we see that as a very good sign.
David Gold - Sidoti: Got you and perfect, and then just one last; when we think about the construction claims business for 2013, do you see sufficient drivers basically to get growth going there again and profitability or just sort of expecting, maybe that mid-single digit?
David Richter: As you know, the claims group is a very difficult one to project that long-term, given the short-term nature of the work, typical consulting practice; it goes up and down without a lot of predictability or visibility. We are hoping that they are going to have a solid year, a record year in both consulting fees and operating profit. They have been earning, you expect to use the expression return of profitability for the Claims group, they have been profitable forever. They have been earning in the high single digit millions, which is roughly between 8% and 10% operating profit annually. But we expect for this year, they are going to see a big improvement and a significant increase in their operating margin which hopefully will take them into double digit millions as far as operating profit, potentially even the low teens. But they are already the 800 pound gorilla of that industry and I don’t know how much significant growth we are going to see in that group organically. But certainly I think high single digit is reasonable but clearly the driver of our growth history is going to be the project management group. We are expecting especially 90% of our growth that we are projecting to come out of project management.
David Gold - Sidoti: On the claim side, the upside of increased profitability that you expect is a function of basically of a better utilization management or does it sound like it’s a function of a much bigger topline. So is it just working smarter?
David Richter: The biggest driver of profitability in Claims group is making sure everyone is busy and that can be high utilization in individual office or just more work for that office. If you can get people busy they weren’t busy that revenue drops right to the bottom line, it’s just pure profit. So we are much more focused on making sure that everybody and particular office region is billable. It’s as I said, hard to predict what works will be coming the door next week, much less next quarter but that’s certainly their targets and their focus for 2013 and we expect we are going to have a record year.
Operator: Our next question is from the line of Gerry Sweeney of Boenning & Scattergood. Please proceed with your question.
Gerry Sweeney - Boenning & Scattergood: You touched on this but I want to see if you could give a little bit more detail on it, it’s more, I’ll call it deleveraging from the operating side, obviously between SG&A and corporate expense and your interest expense, it takes large chunk, out of your profitability. Would these big projects in Oman and all the other projects you listed, when does this start to hit the cash flow statement and when can we see a little bit more deleveraging, in particularly on the interest line. Do you have any plans for that or can you give any granularity behind that?
David Richter: I think to a large degree the growth that we are seeing in the Middle East is going to prevent it from being a major generator of cash that we can repatriate to the U.S. to pay down debt. What we do expect it will happen is that a when we collect on Libya, as I said which we expect in the next couple of quarters, that money will be brought back to U.S. contractually it has to be as said, and obviously it’s tough to give a predictor for our interest expense. So to give it on an annualized basis, if nothing changes, so if that money comes in, in May versus November, obviously that has a big impact on how much interest we are going to pay over the course of the year. Our goal obviously is to deleverage the balance sheet. I think if you separate our financial performance or financial position, separate the income statement from the balance sheet, I think you are going to be seeing a very strong improvement in the income statement and where we still have difficulty and I think what’s weighing on the stock is the balance sheet. We clearly have deleveraging ourselves, deleveraging our balance sheet is our top priority and we think that Libya coming in is the first step in that. Long term, obviously we’ve got to put ourselves in position to be able borrow money, significantly less than we are paying right now and we think over the course of this year we’re going to achieve that.
Gerry Sweeney - Boenning & Scattergood: And then you also mentioned acquisitions. What areas are you looking and to be honest with you, with a constrained balance sheet, why are you even looking at acquisitions?
David Richter: We are, I would say responding to opportunities in the marketplace more than out there aggressively looking for acquisitions at this point and both of the ones that we’re looking at right now are relatively small. I think one has a high likelihood of success and one is relatively early in the process. We won’t do major acquisitions until we’re in a much better position either with our debt or our stock price.
Gerry Sweeney - Boenning & Scattergood: The small ones you are looking at, are they specific ones that would add say a multiple benefit to the company meaning it has maybe you spend X but the benefit would be 2X to 3X, new area, maybe a little bit of understanding it to what they would do?
David Richter: I would say both acquisitions that we are looking at, we are not giving you too much detail. One is in the Claims groups, one it would in the Projects group, relativity small mainly less than 50 employees, both would be accretive to our earnings and both would add new geographic presence to both groups.
Operator: (Operator Instructions) Your next question is from the line of Nathan (inaudible), a Private Investor. Please go ahead with your question.
Unidentified Analyst: I think, my understanding is if I heard correctly you said that the interest expense moving forward into 2013 looks to be $20 million to $22 million. Is that correct? 
David Richter: Yes. On an annualized basis. What it is for the actual full year, we don’t know yet, depending upon how quickly we can pay that debt down.
Unidentified Analyst:  Is that similar to what we paid in 2012? I guess the real question I have is I know there was a lot of restructuring cost that were attributed to 2012 in several different quarters when there wasn’t technical default. So I was just curious how much; what were the expenses for the technical default and the restructuring that were included in 2012 that won't be included in 2013? 
John Fanelli: This is John. Just to answer your question I think we should just look at 2013 and that's based on our current debt structure which really is the credit facility and also with the term loan with Tennenbaum Partners and our international debt. If you look at that debt and the interest rates on that debt which is the combination of actual cash payments and also accretion on the term loan, that will aggregate to around $20 million to $22 million as interest charge of which around 44% of that interest charge is non-cash. I don’t think a discussion with respect to the 2012 is really relativist. It is really what we have in place at the end of the year and what interests are associated with that debt will be a better barometer.
David Richter: Nathan, last year our interest expense was $18.2 million and I can tell you several million of that were sort of onetime restructuring default charges. Legal fees; accounting fees things like that in connection with both extensional line earlier in the year and then the restructuring at the end of the year. 
Unidentified Analyst: Okay that answers my question. You may have already answered this in the call as I was a little late but I see that the HillStone Project obviously has been completely removed from the balance sheet. Is there any possibility of that project coming live again in the future? Are there still any talks at all or is that completely gone?
John Fanelli: We alluded from the backlog not the balance sheet but is it possible that it moves forward, yes. I think our client track is still having some conversations with the government, financial partner. Right now the likelihood of that happening was so low that we removed it from our backlog and given the passage of time which was been about, I’d say about seven quarters since we signed that contract, and given the materiality of it, $1.5 billion, we thought it was prudent to take another backlog and given that it had never moved forward to remove it from historical backlog as well.
Operator: There are no further questions at this time. I will now turn the floor back to management for closing comments.
David Richter: Great, thank you very much. We have been pleased with our record sales in 2012 and we believe that positions us for record revenues and return to profitability in 2013. John, I and our entire management team appreciate your continued interest in our company and our stock and we thank you all for participating in our call this morning.